Operator: Hello, and welcome to the Xenia Hotels & Resorts, Inc. Q1 2024 Earnings Conference Call. My name is Alex, I'll be coordinating the call today. [Operator Instructions] I'll now hand it over to your host, Aldo Martinez, Finance Manager, to begin. Please go ahead. 
Aldo Martinez: Thank you, Alex, and welcome to Xenia Hotels & Resorts First Quarter 2024 Earnings Call and Webcast. I'm here with Marcel Verbaas, our Chair and Chief Executive Officer; Barry Bloom, our President and Chief Operating Officer; and Atish Shah, our Executive Vice President and Chief Financial Officer. 
 Marcel will begin with a discussion on our performance. Barry will follow with more details on operating trends and capital expenditure projects, and Atish will conclude today's remarks on our balance sheet and outlook. We'll then open the call for Q&A. 
 Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. 
 Forward-looking statements in the earnings release that we issued yesterday afternoon, along with the comments on this call, are made only as of today, May 3, 2024, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. 
 You can find a reconciliation of non-GAAP financial measures to net income and definitions of certain items referred to in our remarks in our first quarter earnings release, which is available on our Investor Relations section of our website. 
 The property-level information we'll be speaking about today is on a same-property basis for all 32 hotels unless specified otherwise. An archive of this call will be available on our website for 90 days. I will now turn it over to Marcel to get started. 
Marcel Verbaas: Thanks, Aldo, and good morning, everyone. Our operating results continue to be encouraging in the first quarter as strong group demand and steady improvement in business transient demand drove same-property portfolio RevPAR and total revenues that exceeded our expectations for the quarter. 
 Our consistent focus on expense controls by our operators and asset management team and a continued inflationary environment allowed us to also achieve a same-property hotel EBITDA margin that was a bit ahead of our expectations. As a result, our adjusted EBITDAre came in above our internal forecast as well. 
 For the first quarter of 2024, we reported net income of $8.5 million, adjusted EBITDAre of $65.3 million, and adjusted FFO per share of $0.44. While adjusted EBITDAre declined from the first quarter of 2023, we had anticipated this as Hyatt Regency Scottsdale at Gainey Ranch had record high performance last year when Phoenix hosted the Super Bowl and overall market demand was extremely strong. 
 Despite the lapping of this outperformance and the high level of EBITDA disruption resulting from the ongoing transformative renovation at our Scottsdale resort during the quarter, our adjusted FFO per share increased by 10% over last year. This was mostly driven by the significant amount of share buybacks we completed in 2023, which we continued at a slower pace during the early part of the first quarter this year. 
 Although same-property RevPAR for our 32-hotel portfolio decreased by 1.5% for the quarter, RevPAR actually increased by a healthy 3.7% when excluding Hyatt Regency Scottsdale despite the negative impact of the Easter holiday occurring at the end of March this year. 
 This increase was mainly driven by a significant 310 basis point increase in occupancy for these 31 hotels. We saw particular strength in a number of our large group-oriented hotels such as our Houston hotels, Hyatt Regency Portland and Park Hyatt Aviara as well as at Marriott San Francisco Airport and Hyatt Regency Santa Clara. We continue to believe that these 2 high-quality hotels possess some of the greatest earnings growth potential within our portfolio. 
 Additionally, Grand Bohemian Hotel Orlando is hitting its stride now that the comprehensive renovation is fully behind us. And Canary Hotel Santa Barbara had outsized revenue and earnings growth compared to last year as we lapped the room renovation that took place mainly in the first quarter of last year. 
 On a same-property basis, first quarter same-property hotel EBITDA of $70.7 million was 8.5% below 2023 levels and hotel EBITDA margin decreased 228 basis points. Excluding Hyatt Regency Scottsdale, first quarter hotel EBITDA increased 4.7% and hotel EBITDA margin decreased just 14 basis points. We continue to be pleased with these margin results as overall inflation remained at an elevated level during the quarter. 
 As we have noted over the past several quarters, the trends across our portfolio continue to indicate that our demand segmentation mix is reverting towards pre-pandemic levels with group and business transient demand recovering and leisure demands normalizing. 
 Group demand was a particular bright spot during the first quarter. Same-property group room revenues, excluding Hyatt Regency Scottsdale, increased 8.1% as compared to the same period last year. We also saw a modest improvement in business transient demand with continued increases in midweek occupancy. And while leisure demand has largely stabilized across the portfolio, we did see some further retracement in a few of our more leisure-dependent assets and markets in the quarter, particularly in Napa and Savannah.
 Now turning to our capital expenditure projects. We continue to project that we will spend between $120 million and $130 million on property improvements during the year. While Barry will provide additional details on the $33.4 million we invested into the portfolio during the quarter in his remarks, I would like to highlight the progress we are making on the transformational renovation and up-branding of Hyatt Regency Scottsdale. 
 The project is progressing as planned, and we still anticipate a completion by the end of 2024 with approximately $65 million to $70 million that will be spent during this year. 
 After completing the adult pool and its H2Oasis pool bar in January, the large family pool and its F&B amenities were fully completed and operational in early April. The new pool complex is spectacular and significantly improved over the resort's previous amenities. 
 Their early reviews have been very positive, and we expect that this new pool complex will be well received by our anticipated [ higher rated ] leisure and group demand. We also believe that this upgraded pool complex will enable us to attract significant staycation leisure demand during the slower summer season in the years ahead. 
 We also continue to make progress on the renovation of all guest rooms. We have now completed the renovation of 230 rooms, and we anticipate that a total of almost 300 out of our current 491 rooms will be fully renovated by the end of May. 
 The remaining guestrooms, including the additional 5 rooms that will be created as part of this project will be completed in continual phases until final completion by the end of the third quarter. 
 We are also making good progress on the approximately 12,000-square-foot expansion of the Arizona Ballroom. We continue to expect that this ballroom expansion as well as the renovation of all existing ballrooms, meeting spaces and pre-function space will be completed by the end of the year. 
 We have also commenced the renovation of the public space, including the lobby, lobby bar, hotel market, and all indoor and outdoor dining spaces. As announced last quarter, we are collaborating with celebrity chef Richard Blais on all food and beverage offerings at the relaunched resort. We are thrilled we are expanding our relationship with chef Blais with whom we have developed an excellent working relationship at Park Hyatt Aviara, Hyatt Regency Grand Cypress, and Hyatt Centric Key West. 
 We continue to expect completion of these components by the end of the third quarter. Restaurant concepts and menus are nearly finalized as work has now begun in each of the food and beverage outlets. 
 And finally, we continue to expect completion of all improvements to the resort's building facade, infrastructure and grounds to be completed by the end of 2024. The renovation and transformation of all of these components will continue to displace a significant amount of revenue and EBITDA as the overall guest experience is meaningfully impacted. We expect that the majority of the remaining revenue disruption will occur during the second and the third quarters and subside as the fourth quarter progresses. We now expect the impact of renovation disruption to be a bit higher than previously projected as we have gone deeper into the project and the sequencing of demolition and construction has become clear. Atish will provide further details on our outlook, including our renovation disruption during his remarks.
 We continue to be extremely excited about this project and the earnings growth potential that we expect will be created by this transformation. The Phoenix Scottsdale luxury resort market remains strong, and the soon-to-be-launched Grand Hyatt Scottsdale will be a formidable competitor in this luxury peer set. 
 Looking ahead across the portfolio, we remain cautiously optimistic for the remainder of 2024. As we have previously outlined, we believe we have significant embedded earnings growth potential within our portfolio, primarily through our recently renovated properties, our hotels that primarily cater to group and business transient customers, and our 2 most recent acquisitions, W Nashville and Hyatt Regency Portland at the Oregon Convention Center. 
 Additionally, we continue to expect strong RevPAR growth at our properties in our recovering northern California markets, San Francisco, Santa Clara. We saw these themes play out in the first quarter as we experienced encouraging results at our recently renovated properties, Grand Bohemian Orlando and Canary Hotel Santa Barbara as well as further gains of properties that were renovated in recent years, including Hyatt Regency Grand Cypress, our Houston properties and Waldorf Astoria Atlanta Buckhead. We also had strong results at our other large group-oriented hotels, our northern California assets and our most recently acquired hotels, particularly Hyatt Regency Portland. 
 We are off to a good start in the second quarter. We estimate that excluding Scottsdale, same-property RevPAR increased 6.2% in April as compared to the same period in 2023. When including Hyatt Regency Scottsdale, which continued to deliver very strong results through May of 2023, we estimate that April RevPAR is up 0.9% compared to last year. Given its performance through May of last year and the renovation disruption we are experiencing this year, we continue to expect that Hyatt Regency Scottsdale will be a drag on RevPAR growth through the first half of the year, after which the comparisons will become more favorable. 
 We remain particularly optimistic regarding our portfolio performance and earnings growth potential as we look ahead to 2025 and beyond. We expect recent demand trends in our portfolio to continue and are looking forward to the additional growth we expect to get from the completion of the Scottsdale project. We continue to believe that supply growth will remain muted in our submarkets over the next several years, and especially in the upper upscale and luxury segments where our hotels and resorts are positioned. 
 This will provide a very favorable backdrop for potential RevPAR growth as we have seen in previous cycles in the lodging industry when supply growth has been subdued. With our high-quality and further improved portfolio, we expect to be well positioned to take advantage of these dynamics. 
 I will now turn the call over to Barry to provide more details on our operating results and our capital projects. 
Barry Bloom: Thank you, Marcel, and good morning, everyone. For the first quarter, our 32 same-property portfolio RevPAR was $176.86 based on occupancy of 67.4% at an average daily rate of $262.39, a decrease of 1.5% as compared to the first quarter in 2023. 
 Excluding Hyatt Regency Scottsdale, first quarter RevPAR was $178.07, an increase of 3.7% as compared to 2023. This increase reflected 3.1 points of occupancy gain and a decline of 1% in average day rate as compared to the first quarter of 2023. 
 As Marcel indicated in his remarks, the same-property leaders in terms of RevPAR growth in the quarter included our hotels that were lapping first quarter 2023 renovations at Canary Santa Barbara and Grand Bohemian Orlando. Additionally, RevPAR grew significantly at Hyatt Regency Santa Clara, up 26.3%; Waldorf Astoria Atlanta Buckhead up 15.9%; Fairmont Pittsburgh, up 9.8%; Portland, where our 2 hotels were each up approximately 9.5%; Houston, where each of our hotels were up over 8.5%; Park Hyatt Aviara, up 7.6%; and Marriott San Francisco Airport, which was up 5%. The growth in these markets is a result of clearly improving business transient and group demand that we are seeing across the portfolio. 
 Conversely, we experienced RevPAR weakness compared to the first quarter of 2023 at a couple of our leisure driven properties, including Bohemian Savannah Riverfront and Andaz Napa. 
 As expected, results in the first quarter grew as each month progressed. Looking at each month of the quarter, excluding Hyatt Regency Scottsdale, January RevPAR was $157.14, up 11.1% to January 2023. February RevPAR was $178.71, up 0.6% compared to February 2023, and March RevPAR was up -- was $198.40, up 0.9% compared to March 2023. Notably, occupancy grew each month during the quarter. 
 We are optimistic about the recovery in corporate and group rates as we continue to achieve higher mid-week occupancies across the portfolio, particularly on Tuesday and Wednesday nights, where these higher occupancies are providing meaningful rate compression opportunities. 
 We note that compared to 2019, which excludes Hyatt Regency Scottsdale, Hyatt Regency Portland and W Nashville, daily occupancy still trail by approximately 5.5 to 7 occupancy points each day of the week with the exception of Mondays and Thursdays, which have been slower to recover, trailing 2019 by approximately 10 to 11 occupancy points. 
 Business from the largest corporate accounts across our portfolio continues to be significantly behind 2019, while corporate business from small and medium-sized accounts has recovered much more significantly. Group business continues to be a bright spot across the portfolio, where we continue to see a reversion to pre-pandemic patterns. 
 For the first quarter, excluding Hyatt Regency Scottsdale, group room revenues were up just over 8% as compared to the first quarter of last year. Notably, much of this growth was in occupancy with room nights up approximately 7% with rate up approximately 1%. This reflects a continued trend in our mix of group business with the association group business now recovering at a stronger pace than corporate group business. 
 Now turning to expenses and profit. First quarter same-property hotel EBITDA was $70.7 million, a decrease of 8.5% on a total revenue decline of 0.6% compared to the first quarter of 2023, resulting in 228 basis points of margin decline. Excluding Hyatt Regency Scottsdale, hotel EBITDA was $67.2 million, an increase of 4.7% on a total revenue increase of 5.3%, resulting in a margin decline of just 14 basis points. 
 This modest decline in hotel EBITDA margin for the quarter reflected our operator's ability to manage expenses while continuing to improve guest services and satisfaction. Overall, labor expenses increased over last year, which was expected due to higher occupancy levels. Our operators continue to control overtime more effectively as the staffing levels have normalized. 
 In the undistributed departments, expenses in A&G and property operations were well controlled, while sales and marketing expenditures continue to increase as hotels grow their sales teams and continue expenditures on digital marketing efforts. Energy expenses for the quarter declined year-over-year as a result of the warmer weather and reduced pricing in certain markets compared to last year. 
 Turning to CapEx. During the first quarter, we invested $33.4 million in portfolio improvements. As Marcel discussed, we continued our significant work on the approximate $110 million transformative renovation and up-branding of the 491-room Hyatt Regency Scottsdale Resort & Spa at Gainey Ranch and are pleased that the project continues to be both on time and on budget. 
 In addition to our work in Scottsdale, in the first quarter, we completed the renovation of all meeting rooms at the Waldorf Astoria Atlanta Buckhead, a complete renovation and reconcepting of the restaurant at Bohemian Hotel Savannah, and a renovation of ELWAY'S Downtown Steakhouse at the Ritz-Carlton, Denver. 
 Planned renovations will take place in our Texas hotels during the seasonally slower summer months, including the renovation of the restaurant and creation of an M Club at Marriott Woodlands Waterway, renovation of the lobbies at the Westin Oaks in Galleria Houston, relocation of the fitness facility and addition of a concierge lounge at the Westin Oaks Houston, and continuing with approximately $20 million of infrastructure and sustainability projects across the portfolio as the year progresses. 
 We're excited about the work our in-house project management team has completed and even more excited about the projects that we have underway and in various stages of planning in 2024. With that, I will turn the call over to Atish. 
Atish Shah: Thank you, Barry. I will provide an update on 2 items, our balance sheet and our 2024 guidance. As to our balance sheet, we continue to have a strong balance sheet with ample liquidity. With no near-term maturities, a significant unencumbered asset base and limited interest rate exposure, balance sheet continues to be a point of strength for the company.
 At quarter end, our leverage ratio was 5.2x trailing 12 months net debt to EBITDA. As a reminder, our long-term target is a leverage ratio in the low 3x to low 4x range. We expect to move closer to that range in 2025 as we see the Scottsdale project ramp up post-renovation. 
 To wrap up the balance sheet discussion, note that we repurchased a small amount of stock, about $6 million, during the quarter. As you may recall, during 2023, we repurchased about 9% of our outstanding shares at about $12.75 per share. While we continue to consider our stock at the current price level to be an attractive use of our capital, we are balancing that with a few other factors, including liquidity in our stock, current year CapEx outlays and reducing our leverage target -- our leverage ratio to be closer to our target range.
 Next, I'll turn to our 2024 guidance. At the midpoint, our current full year guidance is in line with the guidance we provided at the end of February. While the first quarter came in better than expected, given that we are still early in the year and visibility to the back half of the year continues to be limited, we are maintaining guidance midpoints at prior levels. 
 What has increased is our level of confidence in achieving full year guidance. And we will continue to monitor recent trends to see if the broad momentum over the last several weeks continues over the months ahead.
 With regard to our first quarter results, adjusted EBITDAre benefited from nearly $1 million of business interruption insurance proceeds that were recognized in the quarter earlier than expected. As for our full year RevPAR, we continue to expect same-property RevPAR to increase 3.5% at the midpoint of the range or 4% exclusive of Scottsdale.
 Looking at our business by demand segment. On the group side and excluding Scottsdale, our group room revenue pace for the second through fourth quarters is up nearly 4%. Of the 4% increase, 90% is driven by rate. About 25% of expected group room nights for the balance of the year have yet to be booked. In terms of booking activity or group production, it continues to increase as group rooms revenue booked in the first quarter for future quarters in the year was ahead of that booked during the first quarter of 2023 for the comparable period.
 As to leisure demand, as we look ahead to the summer, our operators are expecting robust demand, including more international travelers as well as more U.S. travelers staying domestic when compared to trends observed last year. Finally, at the corporate transient demand, during the first quarter, we benefited from higher-than-expected mid-week business transient demand, particularly at some of our larger hotels, and we expect that to continue.
 As to the expense picture, we continued to experience moderation in expense pressure relative to last year. For the second to fourth quarter, we expect hotel EBITDA margin to decrease about 25 basis points. Excluding the impact of Scottsdale, we expect hotel EBITDA margin for the second to fourth quarters to increase -- excuse me, to decrease about 15 basis points. As to adjusted EBITDAre, the midpoint of our full year range is $254 million. By quarter, the second quarter weighting is slightly ahead of the weighting we had in the first quarter or in the approximate mid- to high 20% range.
 For the third quarter, we expect to earn about 20% of full year adjusted EBITDAre. In the final quarter of the year, we expect to earn nearly 30% of full year adjusted EBITDAre. This weighting reflects a slightly lower mix of earnings in the second quarter versus prior guidance. 
 One of the drivers of this change is higher-than-expected renovation disruption in the second quarter. As reflected in last night's release, we now expect renovation disruption for the year to be $16 million versus the $14 million we had previously expected. This change is due to the fine-tuning of construction timing at Scottsdale and it's more impactful in the second quarter.
 As we get into the second half of 2024, the comps become easier, and our renovation activity turns into a comparative tailwind as the year progresses. And finally, our adjusted FFO per diluted share guidance is unchanged with the midpoint of $1.69, which reflects about 9% growth in adjusted FFO per diluted share versus 2023.
 To wrap up, during the first quarter, our portfolio benefited from stronger-than-expected business transient and group demand, particularly in some of our larger hotels. We are hopeful that this broad momentum continues into the remainder of the year. 
 Our focus on the ramp-up of the newer properties, certain markets, which are still in recovery as well as successful execution on Scottsdale continues. And we expect that the setup for 2025 and beyond will continue to improve in the months ahead. 
 And with that, we'll turn the call back over to begin our Q&A session. 
Operator: [Operator Instructions] Our first question comes from Michael Bellisario of Baird. 
Michael Bellisario: First question is probably for Barry here. The slide deck references cooling leisure demand in Nashville. Not totally surprising, given the recent data, but you only mentioned Napa and I believe Savannah in your prepared remarks. So maybe help us understand what you're seeing at the W, how that hotel performed in the quarter relative to your expectations and the broader market. 
Barry Bloom: Yes, sure. When we think about -- generally talk about transient hotels, those are generally our smaller leisure-focused hotels, which is why the commentary on Napa and Savannah. Obviously, W Nashville is a very diversified demand base and one that we've talked about historically as where we've really refocused the hotel and trying to achieve better penetration in the corporate transient and group segments, which it has done.
 The overall backdrop in Nashville, particularly with the number of luxury hotels that have in market the last few years, resulted in both in the market and at W Nashville soft -- a little softness in leisure demand during the first quarter. But leisure demand is not the primary driver in the first quarter in Nashville, really never has been. So we'll have a much better indication as we move through Q2 and Q3, which are much, much stronger months in the market overall and have historically been much stronger periods of time for the W Nashville as well. 
Michael Bellisario: Got it, understood. And then a bigger picture question for Marcel on sort of capital allocation and strategies. Remind us how you and the Board are thinking about value creation for shareholders. What metrics are you focused on? And sort of what are the risk-adjusted returns that you're targeting when looking at investment opportunities? That's all for me. 
Marcel Verbaas: Thanks, Mike. Atish has obviously spoken about this in his remarks, too, and we continue to look at capital allocation as needing to be balanced between the various levers that we can pull to drive value for shareholders. Obviously, last year, we talked quite a bit about not seeing a lot of acquisition opportunities and being very focused on value that we saw in potential share buybacks, which we obviously were very active in last year.
 And also, as Atish pointed out, we still believe that there is good value in the stock where we are today. But we are balancing that with the needs that we have with cash outlays for CapEx and clearly, Scottsdale was a big part of that for this year, and also wanting to maintain a good amount of dry powder going forward for potential acquisitions. So clearly, as we kind of work through these main expenditures we have this year, we also are keeping a very close eye on what's out there in the acquisition markets.
 Clearly, I haven't seen us be active on that side yet here in recent times. But we do feel like the pipeline is building a little bit better now, where there may be some opportunities for us here going forward. Clearly, interest rates are higher than where they were previously as everyone knows so that's probably moved up the requirement a little bit on what kind of returns we're looking for. 
 But we're certainly looking kind of for that unlevered double-digit type returns. And obviously, to the extent that there's more risk and there's more renovation risk or any other risk related to that, you're going to look for some better returns to get to those risk-adjusted returns in that range. 
Operator: Our next question comes from Aryeh Klein of BMO Capital Markets. 
Aryeh Klein: Maybe just on the Hyatt Scottsdale, curious what you're seeing from a group booking standpoint as you look beyond this year. What kind of uplift are you seeing on the rate side? And maybe if you can talk to pace at that asset, even acknowledging that it's still pretty early. 
Barry Bloom: Thanks, Aryeh, for the question, and it's a good question. It's 1 that the data moves so much when you're looking at really kind of small numbers, if you will, and different booking patterns as we look into '25. We, by -- in another quarter or 2, obviously, we'll have a much, much better sense of how that's really shaping up for '25. Rate is up significantly. 
 Booking pace in terms of room nights is where we expected it to be, recognizing that a lot of groups, particularly higher end groups, they're waiting until closer to the finish line and looking to see the product before they really start putting business on the books for the very latter part of '24 and we'll have a lot of product available for them and then into '25 as well. 
Aryeh Klein: Got it. And then, Atish, I think you mentioned expectations for inbound international travel recovery maybe helping leisure a bit in the summer. I'm curious how the views may have changed or if they've changed at all, given the U.S. dollar trend. 
Atish Shah: Yes, that's a good question, Aryeh. I think look, there are certain markets which are still very significantly off where they were in, you know pre COVID in terms of international inbound. If we think about some of the markets in Asia, some of the European and Latin American markets that might come into a market like Orlando. So I think even despite kind of the move on the currency side, there's still sentiment that there's a lot more potential for inbound business.
 And certainly, if you look at the lift going into markets like San Francisco, that has increased quite a bit, as well as international lift coming into a market like Orlando. International is not a huge driver of our portfolio. But certainly in those 2 markets, we do see some international business that comes into the market. So that's just another point around confidence in leisure business this summer. 
Aryeh Klein: And if I could just go back to the Hyatt Scottsdale. Can you just talk a little bit about the cadence of the -- I think you took up the EBITDA impact for the year. Just the cadence of that, how things may be shifted around impact first half of the year versus second half of the year and whatnot. 
Atish Shah: Yes, sure. I mean, the $16 million by quarter, maybe we'll just give you that, so $4 million in the first quarter, $7 million in the second, $4 million in the third and $1 million in the last quarter of the year. So that's how you get to the $16 million. And as we had mentioned, the increase from $14 million to $16 million really is more oriented around the second quarter.
 Year-over-year, slightly different. Obviously, we had $12 million of disruption last year. How that shaped out by quarter was, no disruption in the first quarter, $1 million of disruption in the second quarter, $5 million in the third quarter, and $6 million in the fourth quarter. So the year-over-year change, obviously $4 million more disruption this year than last year at Gainey Ranch. 
 But you can just subtract those 2 and you get to how that $4 million comes in. Obviously, $10 million more disruption in the first half and $6 million of the tailwind in the second half, really more in the fourth quarter than in the third. So hopefully, that helps. 
Operator: Our next question comes from Dori Kesten of Wells Fargo. 
Dori Kesten: On the W Nashville, has your outlook for the remainder of the year shifted at all within the updated guidance? And then I'm just wondering if you've finalized plans for the new F&B space there. 
Barry Bloom: Yes. No, our outlook and how we performed there in first quarter and what we're seeing through the rest of the year is right in line with our expectations coming into the year. But again, we feel very good about the market and particularly good about the property and the ability they've had to grow the segments where they needed to. And we've also that we enjoyed in the first quarter. I think some better focus on the middle of the P&L, where we're driving a little more EBITDA and more EBITDA margin than we might have expected coming into the year.
 In terms of food and beverage, we've not outlined a plan for a long-term replacement for The Dutch, which is the 3-meal restaurant, which left in the very beginning of this year. We're still looking at a number of different concepts, but the property has performed acceptably, certainly, and to our expectation with the unbranded restaurant, which has been very successful for breakfast and lunch and is working on strategies while we figure out a long-term strategy for lunch and dinner. 
Dori Kesten: Okay. And then just back on Gainey Ranch. At what point do you bring in the majority of meeting planners to show them the renovated space? I'm just -- I'm trying to determine like in what time frame you'd see a real solidification of your '25 rooms on the books. 
Barry Bloom: Yes. I mean, obviously, we're actively in the market. The sales teams are doing site tours every day. There's just not a lot for the guests to see, particularly in terms of the expansion of the meeting space, although we're now at a point where you can actually see the structure. So that's actually a huge plus as opposed to cleared land next to the existing ballroom facility. So we've actually seen a pretty good uptick in terms of number of site visits and things like that at the encouragement of the hotel.
 So I guess the simple answer is, there is no particular point in time. And we had a lot of experiences when we did the ballroom expansion at Grand Cypress. There's no particular mark in time when  there's a huge flood of business. It's a continual effort and focus on getting people excited about the product. There are some people that simply won't book the product until it's done, but that's not where the focus is. And that would be business to be out in the latter half of '25 and then '26 and '27 in a property like this. 
Marcel Verbaas: And on the positive side, as we talk about -- let me talk about the various components that we're doing there. There's obviously continuous progress that we're making. I mean, when someone goes to the property now, they can see the newer rooms because we have a good number of our rooms that are completed. They can see the pool complex, which, like I said, is spectacular at this point. And they can see the true progress, like Barry just pointed out, on what's going on with the meeting space.
 And the biggest challenge here for the next 2 quarters, really the second quarter and the third quarter, is working our way through these public spaces and the lobby and all the F&B offerings. And that's obviously very impactful to the guest experience. 
 So as we get done with this, which really remains on target to be done by the end of the third quarter, we're getting into the fourth quarter with an essentially fully renovated property with the exception of finishing up the meeting spaces and then some of the infrastructure and external facade work that will still be going on.
 So it's going to be points here kind of towards the end of the third quarter, where people will be able to come into the property and get a real good sense of what the final product is going to look like. 
Operator: Our next question comes from Austin Wurschmidt of KeyBanc Capital Markets. 
Austin Wurschmidt: Wanted to hit a little bit on some of the markets that have been slower to recover. And I'm just curious if these regions and markets like Bay Area and Portland, to name a couple, are seeing a more durable recovery at this point in demand, and how are booking pace group and/or transient continuing to ramp as you look out through the rest of the year? 
Barry Bloom: Yes. Thanks, Austin. Appreciate the question. I think if you look at each of those markets and the growth we achieved in those in Q1, so Santa Clara and Portland, in particular, 2 -- I think you referenced and -- 2 of our, I think, really good success stories for the quarter, not only show obviously the gap that we've now talked about in getting back to stabilized levels but that we're achieving those significantly. And we're seeing continued growth.
 Certainly, in terms of Santa Clara, the tech business has been -- is the biggest piece that obviously has come back. There are some particular demand generators and specific companies in our backyard there that have really increased their amount of travel by individual travelers, their amount of group travel. 
 We've never really talked about booking pace kind of by property or by market. But suffice it to say that we continue to indicate that those markets not only have an opportunity for recovery, but they're doing substantial [indiscernible] driving substantial improvement toward that recovery. 
Austin Wurschmidt: So what do you think you need to see to really capture the occupancy point differential that you highlighted in your prepared remarks? What's sort of that next leg up to keep the momentum going? 
Barry Bloom: I think, I mean, we certainly think the momentum is going and we're seeing, obviously, quarter-by-quarter, we're seeing across the portfolio that corporate transient demand, both in the smaller companies and medium-sized companies, which are generally more recovered, and from the larger companies that are less recovered, every quarter, we're seeing that business move up.
 In terms of the dynamic of Mondays and Thursday nights having a bigger gap than Tuesdays and Wednesdays to pre COVID, that's just -- we view that also just as a matter of time. And then ultimately, in part, travel patterns will change when people realize they may not be able to get rooms on Tuesday and Wednesday nights if you're coming to do a business trip in any market, whether it's a strong market or a weak market, most of our markets are doing unbelievably well on Tuesdays and Wednesday nights. 
 And there's opportunity for us to drive rate as that business compresses, and that there's opportunity and will ultimately, in part, shift business back out to Mondays and Thursdays. 
Marcel Verbaas: What's particularly been encouraging as far as kind of going on that path like you're describing, as far as kind of narrowing the gap in occupancy, is how much of our RevPAR growth in the first quarter was occupancy-driven, obviously, versus rate, really [indiscernible] essentially. And we're seeing that continue with our April results. So most of our growth that we saw in the April record number that we quoted was really driven by occupancy as well. 
Austin Wurschmidt: Yes, that's really helpful. And then just last 1 for me maybe for Atish. Can you provide some additional detail around your comment about sort of fine-tuning the construction timing and what's really accounting for the additional disruption now embedded in, it sounds like second quarter, in particular, from the Hyatt Regency Scottsdale? 
 I mean, was it pulling forward some room renovation or just performance in the market that's impacting that, that's creating some additional disruption? Any detail would be helpful. 
Marcel Verbaas: Yes sure, Austin, this is Marcel. I'll actually answer that for you. So we are obviously very, very focused on making sure this project gets done on the time line that we've outlined and that we want to make sure we hit. 
 So in order to feel as good as possible about getting all these components done by the time frames that we've talked about, we decided to pull forward into the second quarter, a little bit earlier in the second quarter, some of the renovations that we're doing on the public spaces particularly, so lobby, F&B spaces. 
 And that is pretty impactful to the guest experience and will impact a little bit more on the leisure side, particularly than what we initially had projected.
 So that's really the main driver between it. It's really making sure that we hit these time lines, that we get these projects done specifically on the times we talked about and having some more comfort around pulling that forward a little bit to start for those particular components. 
Operator: Our next question comes from Tyler Batory from Oppenheimer. 
Jonathan Jenkins: This is Jonathan on for Tyler. Congrats on the quarter. Most of my questions have been answered but maybe 1 for Barry. You noted the discrepancy between large corporate and small and mid accounts. I'm curious how you think about that gap closing and large corporates returning to maybe pre-COVID levels. 
Barry Bloom: Yes. I mean, as I said, in part response to Austin's question, we're certainly seeing that recover, and the larger accounts are improving quarter-over-quarter, which obviously we think is a positive. 
 I think it's a little hard to look -- to think about when they come closer to closing the gap to back to pre-COVID levels. But again, I think some of that has to do with just business expanding and that people are becoming seemingly more willing to travel on the Monday and Thursday nights or at least the Monday nights in addition to Tuesdays and Wednesdays. So that's certainly part of what's going to close the gap.
 And I think just as more people get back to more normalized patterns and are making more traditional business travel, we think that's coming in. And we don't interface directly with the big 4 accounting firms or the big 3 consulting firms or the Fortune 100 companies, which really makes up kind of that pool as we analyze it. 
 But all of our operators tell us that people want to be on the road more, they want to be out, they want to earn their points. They want to meet with customers. They want to meet with their own internal teams. So again, it's -- think it's a time and a matter of time issue, not a whether demand ultimately comes back or not. 
Operator: [Operator Instructions] Our next question comes from Bill Crow of Raymond James. 
William Crow: Barry, 1 for you. I think you all cited weakness in leisure demand in a couple of markets, which sounds isolated. But then the peers have also identified 1 or 2 markets each where they're seeing some weakness in leisure demand. 
 And I'm just leaning into your experience. What do you think the odds are that a quarter or 2 from now, we're talking about more challenges in the leisure space than less challenges, I guess, is a way to think about it? 
Barry Bloom: I guess, I mean, when I think about it as it relates to our portfolio and the markets that we're in that drive leisure business in the larger hotels, I think we really think about it 2 ways: one, larger hotels and then our smaller market, leisure-driven hotels. 
 But when we think certainly near term and midterm about Orlando, Phoenix, Scottsdale, Aviara, that we think those properties all have really good attributes to them that will continue to drive performance and are not seeing anything that resembles softness in leisure in those higher-end resort properties.
 And we feel good about that. Again, they're not positioned at the super ultra-luxury level. They're positioned at a level that guests really like and want to visit those resorts and that there's sufficient demand in those markets that will keep driving those.
 I think that we're certainly seeing normalization of demand in our leisure markets like Key West and Savannah and Northern California, I mean, Napa in our case. But nothing that is truly problematic in terms of the leisure downturn. Napa, for example, had a very -- another very, very tough quarter in terms of weather, which was no doubt part of the challenge there.
 But I think as we look across the portfolio, our assets are really desirable within their markets. We've not seen leisure -- we've seen leisure -- I mean, we use the word normalized really for a reason that it's a normalization. 
 The part that we're also particularly enthusiastic about is, is it, in general, we've been able to hold to the rate levels that we started to achieve during COVID. Have they softened a little bit in some markets? Yes, sure, they have. But the guest has really been retrained and reaccustomed to paying a much, much higher rate for their leisure stays. 
William Crow: Okay. All right. I appreciate it. We're just -- we're trying to dissect as much information on the consumer as we can. A lot of uncertainty out there, so I appreciate your commentary. 
Operator: At this time, we currently have no further questions, so I hand back to Marcel Verbaas for any further remarks. 
Marcel Verbaas: Thanks, Alex, and thanks, everyone, for joining us today. We're certainly pleased with the continued momentum that we're seeing within our portfolio and in our markets. And we look forward to seeing many of you at NAREIT or any other conferences coming up or meeting opportunities. So thanks again for joining us today, and we look forward to speaking to you next. 
Operator: Thank you for joining today's call. You may now disconnect your lines.